Operator: Good day. And welcome to the Full-year 2017 Results for the Vivendi Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Arnaud de Puyfontaine, Chairman, CFO and Member of the Management Board and Hervé Philippe, Chief Financial Officer, Member of the Management Board. I would now like to hand the call over to Mr. Arnaud de Puyfontaine. Please go ahead sir.
Arnaud de Puyfontaine: Thank you, very much indeed and good evening to all and thank you for this very creative introduction. I shall precise that I am Arnaud de Puyfontaine, CEO of the Company and I’m going to be joined a little bit later by Hervé Philippe, CFO of the Company. That being said, it’s great to have you all today for this Vivendi’s full-year 2017 earnings presentation. Let me first take the opportunity to warmly welcome Xavier Le Roy as Vivendi’s new Head of Investor Relationship. Xavier comes to us with a wealth of experience in the sector and is well known to many of you. I would d also like to thank Laurent Mairot for his highly valuable contribution over the past three years. I wish him all the best for his new responsibilities within the group. Before handing over to Hervé Philippe, I would like to give you a swift overview of Vivendi’s strategy. Our strategy has remained unchanged since 2014. Our strategy is ambitious, our goal is to build a European based leading global group in content, media and communication. We think that there is room and appetite for major European entertainment player between the leading U.S. and Asian Groups and we think that this player is Vivendi. Our strategy is clear, four years ago we outlined our vision over the past four years we have implemented our plan. Today as I will show you in a few minutes, we see concrete and positive results. Creative, content distribution and now communication with others are the three competence of our unique positioning. In content creation, we have the expertise and know-how to produce content both in quality and in quantity throughout the world. Our objective is to meet the expectations of all audiences especially the next generation of the digital consumers. In content distribution, we rely on our own network capacities while establishing strategic partnerships with Teleco operators and digital platform to offer maximum exposure to our content. In communication, the acquisition of Havas makes total sense in a digital environment where content, distribution and communication converge. In addition, we are investing in new businesses with high value creation potential, video platforms, new content format, live venues just to name a few. Everything is now in place to successfully fulfill our ambitious industrial vision. We own very powerful assets in the entertainment industry, which now work together as a crazy industrial group and are integrated to generate more value. We are blessed with substantial financial resources. At the end of 2017, we has a very reasonable level of financial net debt ‎€2.3 billion and our portfolio value of listed companies amounted to ‎€6.4 billion. We are able to pursue this ambitious strategy, thanks to the proven track record and long-term stability provided by our main shoulder the Banijay Group. Vivendi enjoys leading position in the three most dynamic segments of the creative industries. Music, with Universal Music Group, video games on mobile with Gameloft, television and cinema with Canal+ Group. In a converging digital environment it is all about assets and taxes. We need to have the best products, we also need to have the best platforms to distribute them and the best associated services. That is why Vivendi has developed its own network capacities in television we can rely on Canal+ Group which is a major publisher and distributor of PayTV channels in France an overseas in Africa, in Vietnam, in Poland and quite recently in Myanmar with television we also owned a digital show case for our content worldwide with 300 million unique viewers per month. Scale with strength matters to compete with the digital giants, so we have decided to team-up with major distribution players with Telco operators to be strong locally and with digital platforms to be strong globally. Last year Vivendi acquired Havas one of the greatest communications and advertising group in the world. Havas is a very rare and strategic asset, it has unique clarity to know-how which is very difficult to replicate. Thanks to this original and ambitious union. One of the biggest conference and media companies as joined forces with one of the biggest communication companies to play a role with the international competition. Vivendi relies on Havas consumer expertise, it is becoming an ever stronger competitive advantage in the digital world. Customer knowledge and insights are the key to better exploit data, foster positive synergies and improve the monetization of our content in the whole value chain. In exchange, Havas gains the unique access to Vivendi’s premium content and community of talent, offering it grounds and more attractive way to connect with their audiences. According to a recent Havas survey, people wouldn’t notice if 74% of the brands that use just disappeared, the challenge is to create more meaningful connections between people and brands. Our group with Havas is in a position to adverse this challenge. The Havas transaction is a strongly equity for the second half of 2017 it has a positive impact of €1.1 billion on Vivendi's revenues and of €111 million on Vivendi's EBITDA. Vivendi is also building for the future by investing in new activities which at a time we generate new revenue streams. In light, we have majority stakes in 12 festivals around the world and we keep deploying our Canal Olympia Cinema and Concert Network in Africa with some 20 venues scheduled for end 2019. In IP, we acquired the Paddington Bear licensing rights in 2016, that many project developed around the release of the Paddington 2 movie, in music, mobile games, live events and merchandizing perfectly illustrates the synergies implemented across Vivendi to build a powerful entertainment franchise. In new video format Dailymotion repositioned itself last year as a premium content format. The new launch of the platform is already bearing fruit as premium video consumption increased by 50% last year. In mobile shop premium series Studio+ is now available in the U.S. after its launch in France, Italy and Latin America. Thanks to an international distribution agreement signed with Gaumont in 2017 some of the Studio+ premium short series will get a second life on television by presenting them into future lens movies. To strip out the group’s strategic vision, we have deployed significant resources to strengthen our presence in strategically related or adjacent market. As mentioned before, the value of our investments in listed company exceeded €6 billion at the end of 2017. In Italy where we have invested more than €5 billion since 2015, we totally stand by our strategy which is to produce and distribute European content with high added value. Through our investment in Telecom Italia, Vivendi is fully playing its role as the main shareholder its [Foreign Language] status the group is committed to improve team’s results and to participate to the value creation. As regard to the situation with Mediaset, mediation is underway. Our goal remains the same producing and distributing European content with global reach. Another priority market for us is gaming, we confirm our intention to continue our development in this sector. This is the rationale behind our stake in Ubisoft, last November Vivendi decided not to launch a public tender offer on Ubisoft nor to acquire the control of the company in the coming six months. In cultural goods, Vivendi acquired a stake in Fnac Darty in 2016 and as we simply entered into edging transaction to protect the created value. I told you last year that 2017 would be a year of growth. I am happy to confirm that we have achieved this objective at constant currency and perimeter. Our revenues grew by 4.9% and our EBITDA increased by 23.1%. 2017 was marked by many key achievements for our main business units. Let me quickly review some of them. UMG registered its best financial performance in 15 years by many metrics. The group signed new agreements with Spotify, Tencent, Youtube and Facebook to better monetize artist content while creating new revenue streams for the coming years. The Group Canal piece transformation in France is paging off. Thanks to the new offers, the recovery in Mainland France is well underway with significant improvement over the year. Outside France growth remains very strong particularly in Africa where the numbers of individual subscribers reached the 3.5 I mark the end of 2017. At the same time, Canal Group global subscriber based amounted to 15.6 million developed confirmed status at the world largest mobile video game publisher. With 2.5 million downloads per day, across all platform in 2017. Despite changing trends in the market Havas portrayed its connection dynamics in 2017 and adapted its organization to the new communication and advertising environment. We remain confident for the year ahead. And as already stated, Vivendi reinforced its presence in new businesses to create the condition for additional revenues overtime. As a result, Vivendi proposes to pay an ordinary dividend of €0.45 per share representing a return of approximately 2%. Vivendi is fully committed to delivering long-term value to its shareholders. Since June 2014, the Vivendi share price dividend we invested has increased by 55% compared to 32% for the current index dividend we invested over the same period. The momentum unleashed in 2017 will continue in 2018 and looking forward to embarking on this new and exciting year. Thank you for listening and it’s now my very great pleasure to hand over to my esteemed colleague Hervé Philippe, CFO and members of the management board of the Vivendi Group. Thank you for your attention. Hervé, over to you.
Hervé Philippe: Thank you very much dear, Arnaud for those words. Good evening to all of you. It’s really my pleasure to present to you our results for 2017. As Arnaud mentioned, the Vivendi Group has returned to growth. Let me first begin with some changing's into presentation of our financial statement. In the fourth quarter of 2017, we adopted a new definition of financial net-debt, which now excludes commitments to purchase the company interest as well as the relative instruments not ready to net debt items. Under this new definition, our financial net debt at the end of 2017 amounted to €2.340 billion. You can see the reconciliation on the Slide 15. On Page 16, we described two additional disclosure changes that will be applied starting 2018. First, we change our definition of income from operation to include income from operational equity affiliates. Under this new definition 2017, income from operation would have amounted to €1.322 billion or against €1.116 billion under the previous definition. The second change relates to the release of quarterly financial information. As it is done by most of the other CAC 40 companies will now release new revenue information for the quarter ending March 31 to September 30. We will see the changes applied in our Q1 release on May 17. On Slide 18, you are the main changes in currencies as you can see the Euro strengthened against the main currency mainly during the third and fourth quarter as of 2017. The negative impact from changes in currency values are expected to continue into the first half of 2018 assuming rates remain at their current levels. We know that the impact of these currency fluctuations primarily conditionally related mainly at the level of revenues. On Slide 19, the main changes in the scope of consolidation since 2016 were for the consolidation of Gameloft at the end of June 2016 and Havas in early July 2017. Details on the Havas acquisition and its impacts on Vivendi’s financial statements are available in Note 2.1 to the audited consolidated financial statements, which will be available on our website following this call. Information about our interest in Telecom Italia accounted for us and equity affiliates is provided in Note 2.2 on 11 of the audited consolidated financial statements for the fiscal year on mid December 31, 2017. In addition, supplementary unaudited financial data we achieved with this interest is provided following the notes to the financial statements. On Slide 20, you have a summary of the key financial metrics for 2017. As you can see, Vivendi’s performance was very strong and the group is now poised for growth. In 2017, revenues grew 4.9% organically year-on-year, reaching €12.444 million. As expected with a significant improvement at Canal+, during the second half, income from operation was up 17% and EBITDA 23.1% organically. In IFRS, EBIT reached €1.36 million, up 16.8% compared to 2016. At €1.312 billion, adjusted net income was up 73.9%. Finally, following the acquisition of Havas, financial net debt under the new definition rose to €2.3 billion at the end of December of 2017. In our balance sheet although we have that net acquisition, the market value of our listed equity portfolio mainly comprised of our interest in Telecom Italia, Ubisoft, Mediaset, Telefonica and Fnac-Darty amounted to approximately 6.4 billion at the end of December. Before going into the details of business, let's move to Slide 21, is our consolidated P&L. The operating performances were very strong in 2017 with revenue growing by 15% of 4.9% organically and EBITDA by 36.4% of 23.1% organically. EBIT was up €149 million despite the unfavorable comparable basis as 2016 EBIT benefited from the €214 million of reserve related to the settlement of the Liberty Media litigation in the US. Below EBIT, 2016 was also positively impacted by the capital gain on the sale of our remaining stake in Activision Blizzard for €576 million before taxes as you can see in July and August financial income in chart. In 2017, the line provision for income taxes benefited from two important non-recurring items. First, the reversal of provision related to the global profit taxes system of 2011 for €409 million. Once again the current tax income from the refund of the 3% tax paid on dividends for €243 million. As you see turning from continuing operations and turning attributable to Vivendi shareholders, we are nearly flat year-on-year. Adjusted net income, which reflects the groups operating performance, amounted to €1,312 billion, a 73.9% increase compared to 2016 mainly resulting from the growth in EBITDA and the current tax income related to the global profit tax system of 2017. Going to Page 22, revenues by business unit, so group’s revenue, which €12,444 million up 4.9% organically mainly due to the solid growth at UMG plus 10% and the stabilization as you can see of Canal+ Group’s revenues. Havas contributed €1.151 billion to the Group’s revenues in the second half of the year. Page 23 shows the Group’s strong operating performance in 2017 with income from operations on EBITDA growing by 17% and 23.1% respectively. That strong growth was supported by UMG’s solid recovery of 2017 performance and the recovery of Canal+ Group. In H2 2017, Havas contributed €135 million Vivendi’s income from operations. Now going on Slide 24, on cash flow from operations. In 2017, the CSF was up 35.7% compared to 2016 and benefited from the Havas contribution of €308 million, partially offset by slightly lower CFFO generated by UMG and Canal+ due to higher investment in content mainly during the first half of 2017. On Page 25, you have the cash flow after interest and taxes, which was an inflow of €1.346 billion resulting from a CFFO €989 million as seen before. And from the net tax proceeds for €471 million including approximately €250 million received from the French tax authority as part of the settlement of the litigation related to flowing tax receivable, utilized by Vivendi SA for the fiscal year 2012 and €223 million corresponding to the reference to Vivendi SA of the amounts paid under the 3% tax on dividend distributions following the decision of the French Constitutional Council ruling that this tax is unconstitutional. Moving to the consolidated balance sheet on Page 26, the most notable changes compared to the end of December 2016 were relative to the initial consolidation of Havas. Details of the impacts of Havas consolidation are provided in Note 2 of our financial statements. So net debt stood at 2.3 billion at the end of December 2017 against a net cash position at the end of 2016 of 1.2 billion based on the new definition described earlier. In front of this financial net debt, it is worth highlighting again that the market value of our equity interest in listed company amounted to 6.4 billion at the end of December. So balance sheet of Vivendi shows a very solid financial situation. We have in a good transition to the evolution of the net cash on Page 27. In 2017, Vivendi’s financial position decreased by €3.5 billion mainly due to obviously the acquisition of Havas for almost 4 billion including net debt acquired of 0.1 billion. Secondly, the payment of the dividend to Vivendi’s shareholders for 500 million. So this is the acquisition of approximately 12 million of Vivendi’s shares during the first quarter of 2017 for roughly €200 million, and the positive CFAIT of nearly €1.4 billion including a CFFO to €1 billion on a net cash of €400 million relating to taxes and interest as seen earlier. Now let's turn to the business unit performances starting with UMG on Page 30. As you can see in the slide since 2014 which is a year or just before the subscription model took off, UMG has continuously recorded 30 gross year-after-year from 2014 to 2017 UMG’s revenues grew by €1.1 billion representing an underwriting growth of approximately 7.6%. On Page 31, shows the evolution of UMG’s record in music revenues by format between 2014 and 2017 and illustrates the rapid shift of the industry to subscription and streaming models. In 2017, revenues from subscription and streaming represented 43% of UMG recording music compared to 17% in 2014. In absolute numbers, subscription and streaming revenues were close to €2 billion in 2017. It is worth mentioning the meaningful weight of physical sales revenues which still represents one quarter UMG’s total recorded music revenues. Going to Page 32, UMG’s key financial figures for 2017. As already mentioned, total revenues were up 10% organically with strong growth in recorded music 11.3% and in publishing 9.6% while merchandizing and other revenues were down 7.1%. Unrecorded music revenues as seen earlier , some growth about driven by the continued growth in subscription and streaming coupled with the strong performance of UMG’s Artist of the year. 2017 best seller were lead by Taylor Swift, Kendrick Lamar, Drake, The Weekend and Luis Fonsi for Q2. In Q4, recorded music revenues were up 9.6% organically due to the strong release schedule and despite the negative impact related due to change in the seasonality. It is worth mentioning that in Q4 we recorded a positive one-time item in other digital revenues for around €30 million, excluding this one-time item record in music revenues increased by 7.2% organically in Q4. As a reminder, over the year 2017 UMG recognized in revenues around €50 million of one-time items related to receipts of earnings from digital royalty claims to be compared with around €40 million related to non-recurring items recognize in 2016. Over 2017 streaming and subscription revenues moved quickly more than 45% while download revenue decline by 19% and physical sales by just 3%. Publishing revenues were up 9.6% and benefitted from the positive momentum of music consumption song to the subscription and streaming. Merchandizing and other revenues which made up a small portion of UMG’s total revenues declined by 7% due to lower touring activities in 2016. Income from operation was up 18.5% organically, reaching almost €800 million the income from operation margins stood at 14.1% up 1.1 percentage points compared to 2016 mainly benefitting from the revenues growth. Moving to Slide 34, you can see the evolution for Canal+ Group of the gross ads and cancellation in Mainland France between 2016 and 2017. As we stated for 2017, Canal+ in Mainland France is recovering with good commercial trends and improved churn. In 2017 gross ads grew by 12% and cancelation declined by 11% 2016. Looking on the right hand side of the slide, you can see more clearly the sequential quarter-over-quarter improvement in retention, leading to a decrease in the churn rate by 0.6 percentage points year-on-year to 16.1%. We should see further improvement in the churn in the coming quarters given that most of the new subscriber subscribe for 24 months. These good trends are reflected in Canal+ premium subscriber base. For the first time since 2011, the Canal+ premium subscriber base grew by 149,000 net adds in 2017. Moving to the Canal+ Group overall subscriber base on Slide 35, as you see shown in the chart total subscriber to Canal+ grew by 0.6 million in 2016 to reach 15.6 million benefiting from the strong momentum of international operations mainly in Africa and from the stabilization of the subscriber base in France. In Africa the fourth quarter was a record quarter for Canal+ in terms of recruitment with more than 650,000 new subscriber. Turning to Slide 36, Canal+ quarterly results. These two charts illustrates the sequential improvement of Canal+ Group’s result over 2017 under strong performance in the second half of the year. Canal+ Groups revenues were flat year-over-year with strong performance in Q4 which recorded organic revenue growth of 5.7%. 2017 benefited from better trend for the TV operations in Mainland France the continuous for momentum of international activities and the good performance of Studiocanal mainly in Q4. The recovery of EBITDA before restructuring cost is even more impressive with organic growth of almost 30%. In Q4, 2107 EBITDA before restructuring cost increased by €168 million euro's year-over-year turning slightly positive versus a loss of €162 million in Q4, 2016. In addition to the better revenue trend 2017 results also benefited from the cost optimization plan implemented in France since 2016. On Slide 37, we turn to Canal+ Group’s 2017 results and as seen before, total revenues were slightly up plus 0.3% organically. With regards to TV operations in France, revenues were down 3.8% year-over-year with a decline slowing down quarter-after-quarter throughout 2017. PayTV in Mainland France benefitted from the good commercial retention performances and revenues from wholesale agreements signed with three out of the four French telecos. International TV revenues increased by 5.8% with 19.1% growth in Africa. The robust growth delivered in Africa derived from our strategy of providing the best content to our subscribers. In terms of equipment, Q4 2014 was the best quarter ever in Canal+ history in Africa with more than 650,000 new subscribers. At the end of December, the number of first quarters in Africa quarter stood at close 3.5 million. Studiocanal revenues grew by 13.9% organically, mainly due to the strong performance in the fourth quarter. This increase reflected strong theatrical performance notably in France where Studiocanal had five moves with over 1 million tickets sold. Alibi.com, Epouse-Moi Mon Pote, Sahara, The School of Life, L’Ecole Buissonnière and Paddington 2. This is the best theatrical performance recorded by Studiocanal since 2006. Regarding income from operations, a recovery is well underway with 20.2% growth year-over-year. Income from operations benefited from the recovery of the PayTV activity in France as well as the cost optimization plan, the growing contribution of international activities and the good contribution of Studiocanal. Finally in 2017, restructuring charges amounted to €49 million compared to €41 million in 2016. Slide 39 concerns Havas and we see the contribution to Vivendi’s operating result. We consolidated Havas since July the 3rd 2017 so the result have driven Vivendi’s accounts for the second half of 2017 only. Havas revenues and income from operations included in Vivendi’s accounts amounted to €1.151 billion and €135 million for the first half year of its consolidation. As highlighted earlier, Havas delivers strong CFFO of €308 million during the second part of the year. Moving to the evolution of Havas operating results between H1 and H2 on Page 40. As announced previously, in H2 for month improved compared to the first six months of the year. Revenues were up 8% at constant currency and income from operations grew by 14% with its income from operation margin reaching 11.7%. Year-over-year Havas revenues were down 1.1% in H2 with an organic decline of 2.1% in Q4 keeping in mind the very comparable business given that during Q4 2016 Havas recorded very strong organic growth of 4.2%. In a challenging environment Havas moved very quickly in implementing a plan to reduce overhead and G&A costs, which competed into exceptional charges of 24 million including 15 million of restructuring charges. With respect to the full-year 2017, Havas just like its industry peers struggled due to the changes in its market entertainment in the media sector. Going to Slide 41, we have a breakdown of Havas revenues. In 2017, Havas generated almost two thirds of its revenues through its creative division. Havas is around in 150 countries directly or throughout non-consolidated affiliates. Its two most important regions in terms of revenues are Europe, especially France and North America, where Havas generated 50% and 35% of its revenues respectively. Regarding the breakdown by client sector, Havas, through Havas Health & You, has developed extensive expertise in healthcare and derived 18% of its revenues from clients in this sector. In 2017, Havas had a good commercial dynamism in this particular area, with winning many budgets including Sanofi, Novartis and Amgen, just to name a few. Now turning to other business unit and first to Gameloft on Slide 43. As a reminder, the Vivendi has fully consolidated Gameloft since June 29, 2016, so 2016 figures only included six months of activity. Gameloft is still performing well with revenues reaching €258 million in 2017 plus 1% year-over-year. Revenues generated by advertising grew by 93% in 2017 while revenues generated by sales on the Apple, Google and Microsoft stores in app sales were up 5%. In 2017, income from operation reached 10 million, up 12.6% organically compared to full-year 2016. On Slide 44, where Vivendi realized on new initiatives, you will see that Vivendi realized performed well in terms of revenue, which grew organically by 4.5%, mainly thanks to ticketing and MyBestPro. Vivendi Village is investing in the development of new activities, primarily festivals and live events, such as CanalOlympia venues in Africa. Vivendi Village 2017 EBITA was down by 9 million reflecting write-offs in the remaining Watchever assets during the third quarter of 2017. I point out that Watchever's activities were merged into Dailymotion during the fourth quarter. As the new initiatives operating segment, revenues were down 24% organically. So, new Dailymotion was launched in July and is already showing good signs of recovery with some encouraging KPIs. The consumption of premium content increased by 50% in the launch of the new interface. These goods trend should translate into financial performance in the coming years. Income from operations at new initiative amounted to a loss of 87 million for 2017 reflecting the continued investments into new Dailymotion and in content at StudioPlus, for example. Slide 45 is on corporate. You see, of course, we recorded a slightly better EBITA year-on-year. Thanks to positive special items, which has been partially offset by higher legal cost mostly related to Italy. Now of course on Italy, a few words on Telecom Italia on Page 46. Telecom Italia’s is experiencing a good recovery in all its main financial metrics in its domestic activity as well as in Brazil. As highlighted in the chart of the left hand side of the page, Telecom Italia’s recorded revenue organic growth of 2.7% in the first nine months of 2017 after a 2.5 decline in 2016. So chart on the right hand side of the page illustrates the good EBITA performance, which grew by 3.8% organically during the first nine months of 2017. Overall in 2016, Telecom Italia reported net revenues of 19 billion and an EBITA of 8 billion. So, Slide number 47 shows the shareholding structure of Telecom Italia. Vivendi has almost 24% of the ordinary shares, which represent 17.15% of the total share capital due to the existence of trading shares. It is on the basis of 17% that we integrate Telecom Italia in the equity method. On the Slide 48, you see the contribution of Telecom Italia to Vivendi’s EBIT including the amortization of the purchase price allocation. 2017, this contribution amounted to 144 million, 173 million in 2016, it is worth mentioning that the lower contribution compared to that of 2016 mainly reflected a positive impact regarded in 2016 relating to the fair value measurements with profit and loss of the embedded options included in the monitory collectible bond issued at Telecom Italia. Well, to conclude on Slide 49, you see that Vivendi performed very well in 2017. Our different businesses delivered very strong operating and financial results, and we achieved an important step in the development of the group’s strategy with the acquisition of Havas. These good results allow us to propose to the next shareholders meeting payment of an ordinary dividend of $0.45 per share as mentioned by Arnaud. Thank you all for your attention. We will now open the floor to your questions.
Operator: [Operator Instructions]. We can now take our first question from Adrien de Saint Hilaire from Bank of America Merrill Lynch. Please go ahead.
Adrien de Saint Hilaire: Yes. Good evening everyone and thanks for taking those questions. I got one around UMG first, to what extent did 2017 benefit from a strong reschedule and what is the risk that we see growth coming of a lot, because in 2018, you don’t have that many artists in the pipeline or maybe not as popular as the ones in 2017, sticking with UMG, so you signed a lot of agreements in the second half of last year with YouTube, Facebook and Tencent. Just curious if you can give us some color on the financial contribution of these agreements for 2018. And then perhaps one last question around Havas, the margins came off by 300 basis points in 2017. If I remember correctly the long-term guide for Havas was around 15% EBITA margin. Do you think that’s a realistic long-term level or shall we expect margins to remain at around 11% or 12%?
Arnaud de Puyfontaine: Most probably yes, I’ll do. So on your first question, I think that we are cautiously optimistic about the entry points of UMG trends in 2018 as facts have proven in the past, there are some seasonality as we go to what's in the pipeline, but I can tell you that under the leadership of the amazing Sir Lucian Grainge, the key focus on the team and the different executives, to be able to find great talents in 2018 should put Universal Music Group still in a position to be the music company, which is developing, spotting the best possible artists and we are expecting that this, which has made Universal Music Group very successful is going to be pursued. So, I would be a little bit less bearish as you seem to be, as regard to the capacity of our team to find the right artist. So, we will see, but this is the mindset, which is mine, in this January month 2018. As regard your second question, my answer to your different question is no answer. We have ongoing relationship with the different strategic partner. We are happy about what have been found. We are not going to release any kind of details as we got to those agreements. And what we are expecting for Universal Music Group in 2018 is really to be aligned with the evaluation of the market and as you know, this is a market, which is going through a massive transformation and we just want to be in a position to benefit from this transformation. And now, I’m going to end over to as we get to your margin question on Havas.
Hervé Philippe: Thank you, Arnaud. To answer your question, Adrien, those are some declines in the margins for 2017 that’s true, but it is also due many to the surprise of the slowdown of the activity in second quarter at the end of 2017. In fact the company was designed for a positive organic growth. In fact unfortunately, it has to face different situation, to face a decline in revenue. This being said, important measures have been already taken at Havas level to improve the profitability for the coming quarters and years. And this goes clearly through a work on the overhead, G&A and G&A cost and also on the compensation ratio. I don’t say that it is easy to reduce the compensation ratio in this business, but in fact we are in a business in which people, you have very important natural turnover people, because the population is very young, very urban. So, you have a natural rate of turnover, which is quite high and we have also to work to adapt the number of people working on different budgets as we see all of this is already in place and it will take time to be seeing the figures, but we are very confident to the possibility of Havas to adapt its account to the currency situation.
Adrien de Saint Hilaire: Thank you. Well we have 8% growth for UMG in 2019 and 2018 so we are not so bearish, but thank you Arnaud.
Operator: Thank you. We can now take our next question from Patrick Wellington from Morgan Stanley. Please go ahead.
Patrick Wellington: Yes good evening, a couple of questions. Firstly, a little bit about your streaming growth in music which looks slow in the fourth quarter relative to some of your peers. One might have thought it would be a bit higher given the a big release seclude with the likes of Taylor Swift. So can you just talk generally about that how it should be - your growth is slower than something your counter parts? And secondly on the music business you had a target of 10% organic revenue growth from 20% EBITDA growth for 2017, I would like to know was that's the new black or you can do 10 and 20 as a regular rate of growth do you think or are there going to be differences between individual years. And then thirdly more prosaically the loss in new initiatives is €92 million can you give us some sort of idea as to where that number is going end up in 2018? Thank you.
Hervé Philippe: And just turning growth in Q4 first we have to look quarter-by-quarter to the growth but we have a very good growth in the year and it also depends of the growth we have in physical sales which was all good raises in physical sales in the Q4 and if we sell physical CDs for example we do not sale at the same time for the same singer the streaming, which is completely logical. This being said for the right up growth of the EBITDA we are down 20% of growth in 2017 it will clearly depend of the leverage you can imagine for 2018 and the growth as it was the top line you will see that we are very satisfied with the growth of EBITDA by the growth of the top line which is interesting figures to us. To answer your third question on new initiatives, roughly that goes to €100 million in 2017, clearly we are investing a lot in this area to develop businesses in Dailymotion and other operation especially in content at StudioPlus for example. I believe personally that in 2018 we'll continue to invest because the group has the means to do that and to develop new activities, which will be the revenues and the profits of tomorrow or the years after, so we'll continue to do that. We look very carefully to those expenses and we limit as much as we can, those expenses but we do believe that it is important for the group to continue to invest in those new activities.
Arnaud de Puyfontaine: And Patrick Arnaud speaking hi. Just as regard to what could be the kind of a new rules for the future I mean as I had the pleasure since I took my job to have a debate with you every November in Barcelona and when we do remember our first talks four years ago and forecast and we see the reality of things. What we can acknowledge is the point that the vision and the appetite for the music has come to fruition, what we can also I think acknowledge is that this is a fast moving environment where predictability and forecast is based on an unstable type of environment. So as regard to on growing kind of trends in terms of the growth profile of the industry et cetera, I wouldn’t get into any number, I'm interested by other type of forecast in 2018. The bearish approach was more and not about these forecast, but about the capacity for Universal Music Group to be the place where the very greatest artist are going to be to think about their future. So the attractiveness of talent that I was referring and as we got to the point of mentioning Patrick its really for us to be to chose as a leader in the market to be able to make the market, influence the market, benefit for the evolution of the market and to play our role as a leader of this market. So time will tell, this is what I can share as we speak this second.
Patrick Wellington: Arnaud you got to race away to watch Arsenal in UEFA Cup play some Swedish people, but just back to the 10% to 20%, I'm asking that more broadly. Do you think the music market is accelerating from this points or decelerating.
Arnaud de Puyfontaine: What I can say, and thank you for your point as regard to this amazing team, Arsenal, which is a little bit special as we speak. As we go to the trend, what I can say is that this January month is providing us with a certain kind of optimism, this is what I can say. So again, I'm not going to dwell into any forecast, but I think that the momentum of 2017 has been good. First numbers as regards to January are encouraging and I guess that all the different trends and levels and what we see in the market are encouraging. At this stage this is what I can share with you.
Patrick Wellington: Thank you very much.
Operator: Thank you. We can now take our next question from Stéphane Beyazian from Raymond James. Please go ahead.
Stéphane Beyazian: I will take two question, if I may. The first one is just to come back on the music and especially the margins, I think there are many different expectations for where margins are going. And I wonder whether you could say a few words on payment to at least how much of that was a percentage of course brought in 2017 perhaps a few words on whether there is rising demand from artist and I think there was one of your artists that filed in the U.S. casting for more from Universal Music, so whether that could sort of limit the margin expansion going forward. And my second question is, regarding to the PayTV market in France last year came up with an agreement with beIN Sports an interesting one, I was wondering whether there is still some sense of doing something similar again this year and I think there are different moving parts perhaps, in the PayTV market and whether you think there is room to see perhaps some consolidation or some new partnership in the market. Thank you.
Arnaud de Puyfontaine: It's difficult to answer question on margins because we do not disclose specifically, the percentage of revenues, which is reverted to artists, as you can imagine. But we are confident of the development of the market and this business and for growing in profitable growth for every people in this business. What I can just add on the cash, because this is something quite interesting and important. If you look carefully to our accounts you could see that the cash flow from operation coming from UMG in 2017 was slightly below the former year. And despite, I would say the size that we have a big growth at the EBITA level, so this is directly linked to the fact that UMG, we have invested a lot in advances to artists and acquisition of catalogs, which is a good thing to do when you are in a growing market. To increase your presence and to increase your market share to do that with artists and to protect artists and to federalize artists and to gain revenues for the future. This is what has been done on the cash side of Universal Music. For the PayTV organization in France, I have no specific idea on that and I don't see any movement or consolidation coming soon.
Hervé Philippe: Just to add a little bit color on this question. What is sure that if we do recall one year ago we had this willingness to be able to strike an alliance with beIN Sports which has been reversed by the competitive authority. Then as you know last June, we had some release of constraints in our business, so the collaboration with beIN Sports as we speak is a positive one it’s a commercial agreement. And as you know if you as a consumer of really high quality content and you want to get an executive proposition in sports in France, you have to become a client of Canal+. And then the good momentum and results we had in our packs for - in the new offer from Canal+. What is next, time will tell as you have seen there is a kind of an open approach as regards to a new kind of a position in the market from Altice as regard the rights, so there are some discussion. So time will tell, any kind of striking scenes currently I have seen no, some discussion in thinking about the picture of the quality of the offering to our customer base. Obviously this is something that is leading the day-to-day of our teams at Canal+ level.
Stéphane Beyazian: And so therefore the guidance for 2019 distinctly on a standalone basis and not including some sort of external factors coming from changes in the market.
Arnaud de Puyfontaine: Indeed.
Stéphane Beyazian: Thank you.
Operator: Thank you. We can now take our next question from Richard Eary from UBS.
Richard Eary: Yes, god afternoon or good evening everyone, just a couple of questions from myself. So first of all on Havas, I don’t know whether you can sort of enlighten us in terms of what actually happened in the fourth quarter and why growth rates fell away quite considerably? I mean North America for the nine months was plus 0.6% and then was modest 2.1% for the full-year. Organic growth obviously for the nine months was minus 0.3 and then obviously ended up minus 0.8. So just some clarity in terms of what actually happened in the fourth quarter for Havas and how should we thinking about that as we go into 2018. The next question is that you've given specific guidance on Havas and Canal+, but nothing else for the rest of the group. Is there any reason why you don’t have any confidence to actually give the similar sort of guidance that you gave in terms of organic growth in EBITA growth guidance in 2017 for 2018?
Arnaud de Puyfontaine: On your question especially on the Havas in the Q4. First, I have to tell you that we added Havas very early comparable basis, because in Q4 2016, it was the best quarter of the year for Havas at 4.6%. So we will find in the appendix of the presentation. It’s a breakdown of the organic growth by different region and we have some changes especially in North America, where we have some agencies, which are not very well performing in Q4, but this is realized in this business and the measures have been taken to restore businesses and the profitability and the growth in different region in Havas. We have a new organization at Havas in the media side of the business also which should help to recover growth and profit, and improve the profitability at this level. For the question on guidance that we have given the guidance on Canal Groups, but we don’t want at this stage to give guidance for 2018 and the other part of the business. It was mainly concerning Universal Music, which is clearly the most important part in the growth. We will see for Universal Music probably at least the growth with benefitting from the growth of the markets, so but it's very difficult today to be very precise on what can be the magnitude of the growth in 2018 of the market and probably Universal Music. This is for these reasons that we don’t provide any guidance for the year. We are confident, but it’s very difficult to give a precise guidance.
Hervé Philippe: Well, I think it's important to notice that we definitely are confident with the development of the group going forward, but as the matter of fact, we don’t want to commit ourselves to any kind of guidance as a matter of fact too, all our main businesses are in transition and transformation, so that's the kind of the approach that we are having for the coming year.
Richard Eary: Can I ask couple of follow-up questions just going back to Havas, are you confident that Havas will post the organic growth in 2018, obviously some of your peers have come out at the last couple of days and obviously, guided to organic growth numbers. And the second thing just looking at Universal now that you’ve got they have the revenue streams that's coming actually from streaming, which is more recurring revenue surely that if you have better visibility going into 2018 than you did in 2017, because of the change in the nature of the business. So does that not give you confidence in terms of being able to guide at this stage?
Arnaud de Puyfontaine: So, we already know what is the revolution of the market of the music, but we want to be cautious of this stage. We don’t want to commit ourselves to a precise figure, if we give a very high figure on the dock, you can be disappointed and if we give to conservative figure, we will be also disappointment. So, it’s very difficult for us to give anytime at this stage of the year. And as regard to Havas more specifically, good and rapid measures have been made to acknowledge the transition of the industry and as you see in the second half, we got the momentum better than in the first half and as regard to 2018, we expect to benefit from the results of the work that has been done to acknowledge this transformation and to get into kind of the momentum that would provide Havas not on an ongoing basis. To be able to get the level of performance that will take these into account, but also to benefit from the strategic rationale behind the get-together with Vivendi to be able to benefit from the momentum that will be created by the synergies on the one hand in terms of the operational operating base, but also in terms of new revenues that can be generated what we can say, that when we see the beginning of the year, there is a momentum that is proving us right in terms of this very pragmatic approach.
Operator: We can now take our next question from Giasone Salati from Macquarie. Please go ahead.
Giasone Salati: Hi, just one question really, in Italy, how do you see the elections in March in terms of determining for what's going to happen on both fronts with Canal+, Mediaset on one side and Telecom Italia and that was the pressure on the other side. Thank you.
Arnaud de Puyfontaine: Well, I think I'm not going to comment in the election agenda in Italy. As a matter of fact, what I can tell you is that there is currently a plan for Telecom Italia, which is under preposition and is going to be presented to the board on the 6 of March and that Vivendi is fully backing the management team under the leadership of the new Amministratore Delegato, Amos Genish, to be able to take the right measures to be able to make the equity story of our team a successful one. We got positive ongoing discussion about the golden power in Italy with government and we truly believe that there is a potential for Telecom Italia with its main shareholders so-called the Vivendi to be able to get the benefit of having strategic long-term industrial partner. So as we say in the UK, they are putting into 2018. And I'm expecting to be able to get this kind of the momentum that we would be proven in the results numbers and the plan that again is going to be released on the 6th of March that’s for the one point. And as regard to the situation, in the momentum of the discussion and with Mediaset, as you know these relationships stopped with a kind of the strategic vision, Vivendi still does believe in the validity and the potential and the strategic vision, and there is a mediation and as I said in my presentation, we hope that we will be able to make that happen. This is the situation at this stage and no other comments to be added. Thank you.
Giasone Salati: That’s great. Can I just follow-up on the Mediapro bid for serial rights. Sky I think filed a lawsuit, does Vivendi share Sky concerns and would it be following up on that lawsuit?
Arnaud de Puyfontaine: We have seen with interest and attention the evolution of the process of those rights, which as you know, have not been successful twice. There is disposition with Mediapro. As you know that in the second bid, Telecom Italia for specific rights, has made an offer. So at the right price, there could be an interest for Telecom Italia. And if such and if it were to be confirmed, Vivendi will back the proposition of the management team. That’s for the kind of rights and say our situation in Italy. As regard to the Sky lawsuit, at this stage, there is no attention to join this process.
Giasone Salati: Thank you.
Operator: We can now take our next question from Lisa Yang from Goldman Sachs.
Lisa Yang: Good evening. I have some questions please. Firstly on Canal+, I’m just wondering if you can help us walk through the bridge from the €355 million in 2017 to €450 million in 2018 and €500 million in 2019. What are the main drivers of improvement and what changes we’d assume in top-line growth in pay-TV France and how much cost savings does that include, because I think you probably will exceed the 300 million you’ve just recently done restructuring in Q4? Secondly at Universal, I understand you don’t want to commit to any number, but I’m just wondering do you expect to outperform or underperform the industry and also there has been a lot of positive negotiation in regulatory change in the recent months, but there are still number of let’s say, outdated and cumbersome regulations, such as the YouTube safe harbor provisions. So the question is that do you feel there could be more positive changes to come and what could it be? And finally just wondering at – just to go back to Canal+, could you maybe give us an idea of the restructuring charges expected in 2018?
Arnaud de Puyfontaine: Hi, Lisa. Thank you for what we call in French [Foreign Language]. So, I will take one of your questions while it really gives some time to Hervé to answer the other one. So I will take our vision as regard the two performance of the Universal Music Group relative to the market. So as a matter of fact, we are not planning for failure. So if what we say is we want to be able to benefit from the market evolution obviously as a leading player in the market, it's really to benefit from this and to be able to be a better than the market than to be worse than the market. But I’m sure that this answer shouldn’t be suspiring. And now, I'm going to hand over to Hervé.
Hervé Philippe: Well, to answer on the trend on Canal+ for 2018 and 2019, clearly you have seen a very good figure concerning the retention on the churn, which is declining a lot, especially coming in the end of 2017 and this is largely due to the fact that subscribers and new subscribers at Canal+ which are increasing are committed for 24 months so we expect to continuous decline in the churn rate in the coming months and this will clearly help the growth of the top-line for Canal+. At the same time we are seeing that our subscribers when they are questioned about their satisfaction of the subscription, the rate of increase and the satisfaction of clients is better than it was one year ago, let's say. So this is very positive for the development of the business in France and you can also imagine we continue at the international level of Canal+ especially in Africa to benefit of the growth of the activities on the satisfaction of the client. Let me say on the cost side, that we have achieved the setting plan, which was suppose to be €300 million in 2018 that’s already been achieved in 2017 but we do believe that there are lot of other possibilities to make savings in the coming quarters and years at Canal+. And everybody at Canal+ is working a lot to identify in the organization or in the cost side to improve the situation. So that's why I do believe that on the cost side, we can have some room. It's very difficult today to be precise in restructuring charges. You see that we have almost €50 million in 2017 we have €40 million in 2016 well this is possible to expect restructuring cost but frankly it's very difficult to give a magnitude of that in 2018.
Lisa Yang: And your views in terms of potential reservations in the coming months on the music side?
Hervé Philippe: We really don’t understand the question.
Lisa Yang: No I was just saying there has been lot of positive changes in terms of the CRB ruling in the U.S. regarding like this huge rates or some change in the recent months, but there are still not with other kind of outdated regulations. I'm just wondering are we just at the beginning to see lot more positive changes in the year to come?
Hervé Philippe: Well, we are following and discussing and we are a part of all the discussion and time will tell. No comment at this stage.
Lisa Yang: Okay. Thank you.
Operator: Thank you. We can now take our next question from Sophie Bell from Credit Suisse.
Sophie Bell: Hi thanks for taking my questions. I just had two quick ones really. Could you let us know how you MGU’s market share developed over the last year? And can you also say whether do you expect that French retail subs to be higher at the end of 2018 than they are currently?
Hervé Philippe: [Indiscernible].
Sophie Bell: Well yes the second question is on Canal+.
Hervé Philippe: Second question is on Canal+. So to answer this question on Canal+, we will see what things will be next year, but clearly we have a positive trend with that subject with improvement in the number of subscribers and the decrease in resignation. So we are optimistic from that perspective for 2018.
Arnaud de Puyfontaine: As regard to some specific numbers or trends for Universal Music Group, what global market shares figures 2017 are not yet available, but in the U.S. based on this Neilson Data, UMG was the only major to grow in its market share up almost a point to 36.7% from 35.8% in 2016. And in the UK the market share was according to the one in 2016 at 35% in 2017. A few bullet points, but not consolidated that as we get to the global market share in 2017.
Sophie Bell: Thanks.
Operator: Thank you. We can now take our next question from Louis Citroen from Arete Research.
Louis Citroen: Hi good evening. Thanks for taking my questions. I had two small ones on UMG. On the physical side of things, 2017 was an improvement in terms of decline, I think it only declined by minus 4%. Do you expect this to still be the case going forward? Or are some markets, I don't know like Japan, Germany, which are more physical driven, maybe going to accelerate their transition to streaming and we are going to see a more normalized rate of decrease going forward? And I guess going back to the question, some earlier question on the streaming side, did the slowdown in Q4 has anything to do with the new agreements you now have in place with Apple, Spotify and the new ratio you are getting paid? Or is that something completely different?. Thank you.
Hervé Philippe: To the answer your question on growth and streaming in Q4, which is still very good growth may be not at the same speed that in the first part of the year, it was also because the number of our releases were bigger, so we – it probably was also to with the weaker action and streaming revenue in the first quarter, certainly we had to deal with stronger half and under those deals in terms of artist royalties are now paid to us by Pandora and then distributed to the artists. So this has already the revenue uplift in the first three quarters of 2017. To answer the question on physical, we had a very good quarter in physical in fourth quarter in 2017 because we are very good releases in this quarter like Taylor Swift, Sam Smith, U2, who sold a lot of physical devices I would say. So we will see what will be - for 2018 its quite difficult to say, some very big countries as you have mentioned Germany and Japan still have the last part of the business which is done physical. It will largely depend of the condition to streaming in those big countries during the year and after that we see the gain in physical sales.
Louis Citroen: Okay. Thank you very much.
Operator: Thank you. We can now take our next question from Nick Delfas from Redburn. Please go ahead.
Nick Delfas: Yes, thanks so much indeed. So just a question first of all about the change in definition, so the income from equity affiliates is moving into income from operations. Does that change Canal+ as a division at all? That’s the first question. And then secondly on the UMG apologies, but I didn’t catch all the various one-off that you mentioned Havas. I think you mentioned something just now about Pandora and how that was paying UMG and how that boosted revenues. I think you also mentioned some other exceptional in your remarks if you could just clarify what the major one-off or not so much one-offs but things to note in the trends in 2017 were. Thanks very much.
Hervé Philippe: Yes. Thank you for your question. First, Canal+ absolutely no impact on Canal+ as a definition of the income from operations. In fact it means that we will have in the income from operations, the income coming from the equity affiliates. It will mainly concern Telecom Italia and Banijay, I would say. So no impact on Canal+. For Universal Music, when we speak of one its always complicated to be too precise because often we are referring to settlements. We know that we have a clients, customers and we have a possibility to audit some time the figures coming from the customers. So when we find something which is not exactly what we expected to have, we can begin to discuss and generally, we come to settlements. And this is typically the case of the one-off that we are referring to.
Nick Delfas: I meant more in terms of the revenue trends, the Pandora effect of revenue trend in 2017? And whether any of items in the revenues which affected the trend?
Hervé Philippe: No we see that as one-off I would say are quite significant. But we had also significant one-off in 2016 so we have the range of €40 million to €60 million of one-off in each of those. So we can expect probably in the future also to have some one-off when we are making some audits and so we continue it on recurring basis, this is not very, very specific on 2016 and 2017 but we would like to disclose that as one-off because it can impact especially from quarters during the year that’s why we give you this information.
Nick Delfas: Okay. Thanks very much.
Operator: We can now take our next question from Laurie Davison from Deutsche Bank. Please go ahead.
Laurie Davison: Hi there. The first question is just on the UMG listing. Where do we stand on the part listing of UMG now, is that still something that’s being considered and when will you take a decision on that, what also is the rationale behind that listing and why in your part listing? Second question is just on the Canal+ guidance for 2019, you’ve beaten on your cost plan a year early from the one you set back in 2016, 2017, and on the 2019 guidance, what is the new cost plan that is incorporated there and is there a degree of conservatism given what you’ve learnt given the surprise statements you were forced to make in January? Thank you.
Arnaud de Puyfontaine: Okay, I will take the first one. So I will keep on repeating that there is no plan yet as we go out to any kind of a listing, but we just do acknowledge the point that in due time for the right reasons at the right rationale and all the questions that will then be required, we keep that possibility as an option, but as we speak there is no plan for such move.
Hervé Philippe: To give a comment on the 2019 guidance at Canal+, it implies an improvement regarding 2018 and this can come both from an improvement amount of the top line or in France or in wholesale contracts or in international level. Obviously, we can also make additional savings as I have explained earlier, because we are identifying new areas of savings in the group for the future, which lead us to be confident on the guidance for both 2018 and 2019.
Laurie Davison: Sorry, just coming back on that so as you are not giving a specific new cost saving target beyond the €300 million?
Hervé Philippe: No, no. We do not give a new target. We have identified several areas of savings, but we have not given the precise figures of target on that. We have given the guidance, which is the final important figures I would say for your calculations.
Operator: We can now take our next question from Julien Roch from Barclays.
Julien Roch: Yes. Good evening. My first question is on the Canal+. You've signed a wholesale deal with Orange last July, but we can’t see it in the wholesale subscriber numbers, which are not moving that much and are more or less in line with the free subscriber numbers. So, I was wondering where are the wholesale subscribers with Orange? That's my first question. My second question is on the cost of Canal+, if you look on a quarterly basis you had a very, very good Q4 in terms of cost savings. Now Hervé, you said you achieved the cost saving plan one year early. So you've done 240 as for nine months and 300 as for 12 months. So there is an extra 60 million there, but the cost where 110 million better. So I was wondering whether there was any change in programming or was there any other items they were explaining such a good performance in Q4, because cost year-on-year from revenue to income from operation improved by 109 million, so those are my two questions on Canal+. Thank you.
Hervé Philippe: To answer the first one really to be more precise on the Orange agreement in July, because this is not wholesale agreement, this is a new offer through Orange, but this is not concerning all the clients of Orange and we have given the global figure for wholesale concerning both the agreement with Orange free and wig in the presentation, but it is not disclosed by specifically by partner, I would say. On the cost side, well, as I have said, we have identified and we are identifying new areas of improvement. And in the Q4 of 2017 as you know we have done a management of the cost, we have the cost program, but this doesn’t provide to make us a fall from to work on contracts and prices and so. So, this is a day-to-day work, I would say. This is probably also why we have improved the profitability at Canal+ by this work.
Julien Roch: Thank you.
Arnaud de Puyfontaine: Thank you.
Operator: Thank you. We can now take our final question from Conor O'Shea from Kepler Cheuvreux. Please go ahead.
Conor O’Shea: Yes, thank you. Just to clear up something on Universal relative to your statement on 11th of January. Did I misunderstand this where you are giving guidance for 10% constant currency growth for Universal in Q4? You did 8% and probably, you mentioned a one-off on the digital settlement as well and your peers were doing more than 10%. So just wondering, something unexpected at the end of the quarter that led to the slightly lower number. Secondly on the Universal’s margins, you mentioned on the CFFO, the artist advances, which were wearing on that. Obviously, that’s a timing thing versus the P&L, but is there also a sense that’s when that gets recognized in the P&L as releases come on the screen that could limit margin growth somewhat going forward, is that a factor does it like-for-like increases. And then last question on Canal+, a very sharp turnaround in Q4 on stereo panel, can you give us a sense of how much that contributed to revenue in Q4 and how much of that could be an ongoing effect in the first part of 2018, Q1 and maybe Q2? Thank you.
Hervé Philippe: Thank you. First, the press release of the January, it was providing guidance for Universal Music on a full-year basis. I think this was clear in the press release. So we are completely in line with the guidance, which has been given to the market at the beginning of January for the results that we are releasing today for Universal Music. To answer the second question of the advantage to ask this, this is a very good way to federalize artists and to develop relationships with the artists to make advances to them and when we have advantage to the artists, they are committed for two years or three years or four years, depending on the type of the contract and the number of releases they will do. So this is a very good operation to the future and to the sustainable growth of all businesses in our different geographies for Universal Music. To answer the third question on Studiocanal, I would say you know as it is a part of this business to have very good movies at certain period of time. So Paddington is one of the good news of this fourth quarter, but we had also very good success in other movies in the fourth quarter. So, it's also something, which can happen, as you can happen at Studiocanal to have some ups and downs on a quarterly basis. But we are very satisfied with the pipeline for the coming years for 2018 and we will see what will be the success of the movies, which will be released in 2018.
Conor O’Shea: That’s it. Thanks.
Arnaud de Puyfontaine: Okay. So, it's now time to conclude. Thank you very much for your attendance. Thank you for your questions, and your interest in Vivendi. I very much look forward for the 2019 figures, and I wish you all a very great evening. Bye-bye, and see you again soon, bye-bye.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.